Operator: Good morning, my name is Tracy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cinemark's Quarter Two Earnings Call. [Operator Instructions] Thank you. I would now like to turn the call over to Ms. Chanda Brashears, Investor Relations Manager. Please go ahead.
Chanda Brashears: Thank you, Tracy. Good morning, everyone. At this time, I would like to welcome you to Cinemark Holdings Inc.'s Second Quarter 2013 Earnings Release Conference Call hosted by Tim Warner, our Chief Executive Officer; and Robert Copple, our Chief Financial Officer. In accordance with the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that are addressed by members of management during this call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause Cinemark's actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are set forth in the company's SEC filings. The company undertakes no obligation to update or revise any forward-looking statements. Today's call and webcast may include non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable financial measures, calculated and presented in accordance with GAAP, can be found in today's press release and on the company's website, investors.cinemark.com. I would now like to turn the call over to Tim.
Timothy Warner: Good morning, everyone. Thank you for joining us for our second quarter 2013 results call. This morning, I'll provide an overview of the North American industry and Cinemark's second quarter box office performance, highlight the upcoming film slate and provide an update on a few of our strategic initiatives. After my remarks, Robert will provide additional commentary on our financial results and capital structure. And we will then conduct our customary question-and-answer session. Although news headlines may lead you to believe that movies are not performing well, the real story is in the numbers this quarter. The diversity and breadth of the second quarter's film product combined to lift the box office to an all-time North American industry record of over $3 billion. With a tenfold performance of Iron Man 3, Man of Steel, Fast and Furious 6, Monsters University and Despicable Me 2, in addition to the success of midrange films including the Great Gatsby, Now You See Me, This is the End and The Heat, the second quarter North American industry box office increased by nearly 8% from the prior year period. On a worldwide basis, our admission revenues set an all-time record of $464.5 million, an increase of 11.1% overindexing the North American industry by approximately 320 basis points. The diversity of our global circuit has allowed us to outperform the North American industry in 16 out of the past 17 consecutive quarters on a currency-adjusted basis. That is 4 years of outperformance. Our distinct worldwide footprint generated 11.7% increase of total revenues to $725.6 million for the second quarter. Thanks to the continued discipline and cost control efforts of our operational teams, we generated a record $178 million in adjusted EBITDA, resulting in an industry-leading 24.5% adjusted EBITDA margin, a 30-basis-point growth from the year-ago period. The third quarter has already demonstrated resilience against a challenging comp, which includes The Dark Knight Rises, Spider Man 2 and Ice Age Continental Drift. The third quarter is up more than 6% to date, with the success of Despicable Me, The Conjuring, The Wolverine, 2 Guns, Smurfs 2 and the latest film by Woody Allen, Blue Jasmine. This upcoming weekend, Planes, Percy Jackson Sea of Monsters, Elysium will be released, as well as Cloudy with a Chance of Meatballs 2, and Riddick later in the quarter. The fourth quarter film slate includes a new concept film Ender's Game, the Return of Thor In The Dark World. The Thanksgiving holiday kicks off with highly anticipated second film of the Hunger Games franchise, Catching Fire. The newest Disney princess will make her debut in Frozen, the weekend after think Thanksgiving. We then have the second film in The Hobbit series, The Desolation of Smaug. The Christmas break pose a wide variety of films including Walking with Dinosaurs, Anchorman 2, Saving Mr. Banks, Monument Man, The Secret Life of Walter Mitty and Jack Ryan. We continue to expand our XD premium large-format presence in both our domestic and international markets. As of June 30, we had a total of 137 XD screens globally, 88 domestically, including the 9 extreme premium large-format screens acquired from Rave and 49 internationally. We anticipate opening an additional 20 to 25 XD screens by the end of the year, increasing our total to 150 to 160 XD screens. We are the industry leader in circuit owned premium large-format screen initiative, operating more than 50% of the screens amongst the top 4 exhibitors in the U.S. Our domestic XD screens achieved a 53% increase in the box office from a year-ago period, generating approximately 5.6% of our second quarter box office on only 2% of our screens. The studios continue to recognize the value and incremental revenue of our XD format generates. In addition to online, social and mobile media advertising, the studios dedicate to our XD screens, they have also featured our XD brand in national television advertising for 9 films so far this year, including the most recent films, RED 2 and The Wolverine. The studios are also promoting our XD brand with television advertising in our international markets. Already this year, 10 Films in Latin America, including The Wolverine and Smurfs 2, have featured See It In XD in advertisement. Our XD screens, combined with our 3D business, allowed us to generate 27% of our worldwide box office in premium sales. A lack of advertising for the 3D formats, as well as an overlap from major 3D releases, may have had negatively impacted the 3D percentage of the industry box office. Though it may not be advantageous for every film to be produced in 3D, directors have embraced the technology, utilizing it to successfully enhance the story for films, such as Life of Pi and the Great Gatsby. Whether the 3D percentages represents 20% or 90% of the film's box office, the incremental revenues benefit both the studios and exhibitors. We view 3D as beneficial and accretive to the box office, especially from a global perspective. We have been testing the Auro 11.1 premium immersive audio solution in our XD auditoriums on a limited basis for several months. We have been pleased with the product and have recently announced a partnership with Barco to install Auro 11.1 in our XD auditoriums worldwide. Auro 11.1 will further differentiate the premium sound with both high player and the future discrete object-based capabilities. We believe that object-based sound is the future of the premium cinema experience, and are looking forward to creating a new industry standard with a partner who is a front-runner in technological innovation. Our digital conversion in Latin America continues to progress, and we anticipate completion by the end of the year for each country, with the exception of Brazil. We postponed the digital conversion in Brazil to take advantage of the importation tax credit. We have received government approval and anticipate we will be fully digitized in Brazil in early 2014. As of the quarter end, we were 51% digital in Latin America. Establishing and developing direct communication and relationships with our patrons continues to be an integral focus points through various mediums, including email, social media and our Cinemark app, which grew by 600,000 downloads during the second quarter and has now reached over 2.8 million downloads to date. In addition to the studio partnerships, we have with CineMode, we are very pleased with our recent partnership with Amazon, which featured CineMode Reward, offering a discount to purchase Star Trek Into Darkness Blu-ray or DVD, and included a free digital comic. In return, Amazon featured our Cinemark logo and directed traffic to our website to purchase tickets for Star Trek Into Darkness. We continue to explore additional collaborative efforts with studios and vendors to create customer rapport and incremental value. As NCM announced on their call last week, Cinemark, in conjunction with Regal and AMC, intend to purchase Fathom Entertainment from MCM. Though we believe the vast majority of the box office will continue to be generated by the studio releases, we view -- we continue to view alternative content as supplemental to the box office. Rave Cinemas became part of Cinemark on May 29. Robert and I recently toured many of our new Rave assets to speak with our managers and identify opportunities to enhance both brands with best practices. We not only acquire strong theaters, but very high quality managers and staff. Per the Department of Justice final judgment, we will be required to divest 3 theaters due to market overlap and have entered into an agreement with Carmike Cinemas for the sale of the 3 theaters, representing 52 screens. Robert will now discuss the company's financial performance for the second quarter and provide an overview of our capital structure.
Robert D. Copple: Good morning, everyone. Our total worldwide revenues for the second quarter were $725.6 million. Worldwide admission revenues were $464.5 million, an increase of 11.1%, which is 320 basis points more than the North American industry. Our worldwide adjusted EBITDA was an all-time, record-breaking $178 million for the quarter, resulting in an industry-leading adjusted EBITDA margin of 24.5%. Our U.S. segment's total revenues for the quarter experienced robust growth of 16.4% to $513.7 million, benefiting from the diverse film product and inclusion of the 32 Rave theaters acquired on May 29. Admissions revenues for our U.S. segment grew 17% during the quarter. Our admissions revenues substantially outperformed the North American industry box office estimate of 7.9% growth. On a per screen basis, our domestic theater box office increased 9.4%, also meaningfully outperforming the North American industry. Our U.S. attendance for the quarter was 46.9 million patrons, an increase of 11.7%. Our average ticket price rose 4.7% to $7.16, primarily due to price increases. Our premium product as a percentage of our domestic box office was 24.5% this quarter compared to 27.9% in the same period last year. The reduction is primarily due to the 3D attachment rate decline in the quarter as Tim discussed previously. U.S. concession revenues were $164.2 million, an increase of 15.8%. Domestic concession per patron increased 3.6% to $3.50. The increase was primarily due to incremental sales and price increases during the quarter. Since our IPO in 2007, we reported consistent growth in our concession per patron line item each quarter, with more than 25 consecutive quarters of increases in concession per caps. We commend our food and beverage group, as well as our theater teams for their remarkable performance. With increase in domestic attendance, we're able to recognize operational leverage, and our U.S. segment generated adjusted EBITDA of $128.7 million, the highest quarterly amount in our company's history. Our theater teams did another outstanding job this quarter in controlling cost and converting our increase in revenues to the bottom line, with the resulting 25.1% adjusted EBITDA margin. Though the Rave assets we acquired are state of the art and were very well managed, they joined our circuit with a historic adjusted EBITDA margin below 20%, which slightly impacted our margin this quarter. Our international segment strong quarter was muted by an FX headwind of approximately 5.5%. The challenging comparison as Q2 of 2012 increased 14.2% in U.S. dollars and 27.6% in constant currency over Q2 of 2011. Other factors impacting the box office performance includes the timing of Easter, a significant family holiday in Latin America, similar to Christmas in the U.S., which was in Q1 this year versus Q2 of the prior year, as well as the Confederation Cup, which occurred in June of 2013. Our international total revenues increased 1.7% to $211.9 million. Admission revenues were $128.6 million for the quarter. In constant currency, admissions revenues increased 3.8%. For additional comparative perspective, our international admission revenues have grown 111.5% from 2008 to 2012 on a constant currency basis. Our international segments average ticket price was $4.85, essentially flat to last year's period. In constant currency, the average ticket price improved 4.9%. Our second quarter international concession revenues continue to perform extremely well, increasing 8.2% to $64.5 million versus the same period the prior year. Concession per patron was $2.43, an increase of 9% in U.S. dollars and 14.3% in constant currency. Our Latin American segment generated adjusted EBITDA of $49.3 million for the quarter, returning at 23.3% margin. We're especially proud of our Latin America field operation's ability to focus on controlling operating cost, while also maintaining their expansion initiatives with new theaters in the digital conversion. As discussed last quarter, there are incremental expenses associated with such a heavy growth period and their ability to generate this margin with a reduction in attendance required a great deal of focus and execution. Consolidated film rental and advertising cost increased 100 basis points to 55.4% of admission revenues due to the increase in blockbuster films during the quarter. Concession supplies were 16.2% of concession revenues, a slight increase of 40 basis points due to higher inventory procurement costs, and the impact of special concession promotions that are driving incremental concession sales. General and administrative expenses increased to $40.5 million due to the increased compensation expense and increased professional fees, primarily associated with the Rave acquisition and Mexico disposition. In May, we issued $530 million of 4 7/8 10-year senior notes. In June, we used these proceeds to redeem our $470 million of 8 5/8 senior notes that were due in 2019. The refinancing extended our maturity and will result in a 375-basis-point reduction of our interest rate, which would translate to roughly $3.6 million in cash interest expense savings each quarter or over $14.5 million in annual savings. As part of our redemption of the $470 million 8 5/8 senior notes, we incurred a $72.3 million early retirement of debt expense, comprised of $56.6 million make-whole premium, the write off of an unamortized bond discount of $8 million, a payment of approximately $100,000 for other fees and unamortized debt issue costs of $7.6 million. Total income before income taxes was $29.6 million, reflecting the $72.3 million redemption-related charge. This compared to a pre-tax income of $83.0 million in Q2 of 2012. Net income attributable to Cinemark Holdings Inc. was approximately $20.3 million, or $0.18 per diluted share. Our Q2 effective tax rate was 29.5%. Our balance sheet remains the strongest and least levered in the industry, with a cash balance of $515.5 million. Our net debt position is approximately $1.31 billion, and a net leverage ratio of 2.2x adjusted EBITDA. Pursuant to NCM common unit adjustment agreement, the attendance increase expected to be generated by our Rave acquisition resulted in an extraordinary common unit adjustment calculation. As a result, Cinemark received an additional 5.3 million common units of NCM during the quarter, with a current value of approximately $100 million dollars. We now own a total of nearly 24 million units, valued at $453 million, with relative ownership of 19.6%. At quarter end, our U.S. circuit consisted of 332 theaters and 4,434 screens in 40 states in the 99 DMAs. During the quarter, we built 1 theater with 10 screens, closed 1 theater with 5 screens, and acquired 34 theaters with 513 screens, of which 3 theaters and 52 screens will be divested for the Department of Justice final judgment that Tim discussed earlier. We have signed commitments to open 9 theaters with 109 screens for the remainder of 2013 and 9 theaters with 106 screens subsequent to 2013. We expect to incur approximately $127 million in CapEx for these additional 215 screens. Our total Latin American circuit at June 30 consisted of 172 theaters and 1,360 screens. During the quarter, we opened 3 theaters and 18 screens and closed 1 screen. We presently have signed commitments to open 12 new theaters, representing 72 screens, for the remainder of 2013 and 7 theaters, representing 47 screens, subsequent to 2013. Estimated CapEx to develop these additional 119 international screens is approximately $96 million. We remain disciplined in our strategy to reinvest in the company. During Q2, we invested $53.5 million in capital expenditures, including $30.3 million on new construction and an additional $23.2 million on maintenance CapEx, which includes the Latin American digital conversion cost and expansion of our XD premium large-format screens discussed earlier. We project 2013 CapEx to be within the $300 million to $325 million range, a slight reduction from the previous guidance due to postponement of the Brazil digitization. As discussed last quarter, CapEx is elevated for 2013 with the robust new build pipeline, estimating that we will open more than 200 new screens worldwide this year, as well as the Latin American digitization and XD conversions. We continue to believe we will return to a more normalized CapEx range of approximately $250 million in 2014, primarily dependent on the new build pipeline and the postponement of the digital conversion in Brazil. Given this tremendous growth opportunity throughout South and Central America, we believe the current use of our capital is to reinvest through organic growth and accretive acquisitions, providing shareholders with financial returns of 20% cash-on-cash and maintaining at least a 20% adjusted EBITDA margin through our disciplined investing philosophy. In addition to the shareholder value we created through our growth, we paid dividends resulting in a yield of approximately 3%. We continue to view our company as a very unique investment opportunity, with both a growth potential in Latin America and the stability of the North American industry. Operator, that concludes our prepared remarks. Please up and up the lines for questions.
Operator: [Operator Instructions] Your first question comes from Barton Crockett with Lazard Capital Markets.
Barton E. Crockett - Lazard Capital Markets LLC, Research Division: I wanted to ask about the timing impacts on Latin America. I mean normally, the box office per screen there has been outperforming the U.S. This quarter, it didn't. You cited Easter, you cited the Confederation's Cup as timing headwinds. How do you see those timing headwinds playing out in the third quarter? Is there anything unusual that we should think about or do you think the baseline kind of view coming into it is that maybe we go back to the old pattern of outperformance constant currency?
Robert D. Copple: Barton, I do think in constant currency, we feel good about the coming quarters. The thing I -- more than anything I don't want to lose sight of is the comps we had this quarter compared to last year were huge for Latin America compared to the U.S. The U.S., even in US dollars, last year was down slightly in Q2 where internationally it was up over 14% in US dollars and over 27% in constant currency. And so if you actually compared last year and this year and combine them, the international still in constant currency overperformed for that 2-year period. So a lot of it was just timing of how last year fell and this year. And then as we discussed some of those other items. But this quarter, we feel good about there's really nothing unusual affecting us similar to what we had last year.
Barton E. Crockett - Lazard Capital Markets LLC, Research Division: Okay, great. And then if you could talk a little bit about Fathom. So with the acquisition of Fathom by you guys and AMC and Regal, is there going to be a change to the business there? Has it been a pretty modest contributor of profits to NCM? Are you guys going to invest a lot of money so maybe we see some losses absorbed or you're trying to change it into something else? Or is it pretty much kind of steady-state modest profit contributor after the spin?
Timothy Warner: We think the -- by us taking Fathom into this sort of a direct relationship between exhibitors and alternative content providers, you take out that third-party conflict between us and NCM. But -- and also with the rollout of the DCDC technology, we'll have the technological network in place to expand upon alternative content. But it will take the companies coming together to continue to develop the business model. I think there's always been a vision that alternative content could play a more significant role in the future. But it is going to take time to develop the business model.
Barton E. Crockett - Lazard Capital Markets LLC, Research Division: Okay. I mean, is there something where you see a lot of incremental investments into that with a return later or too early to really say at this point?
Timothy Warner: No, no. We won't be investing in content ourselves. We'll be soliciting content. So, I mean, I don't see -- Robert can comment too, but I don't see significant investments as part of the structure.
Robert D. Copple: Barton, as you said, it's kind of been a modest business for NCM, and we felt like it align a little bit better with our business directly. It's more similar to film I'd say than advertising. But it's very -- it's kind of premature actually even at this point for us to estimate what capital cost we'd have in it. We don't feel like it would be significant in the future. We just want to put a little different focus on it. But as Jim said, there's still a lot of rows to be plowed just to develop the plan.
Operator: And your next question comes from Townsend Buckles with JPMorgan.
Townsend Buckles - JP Morgan Chase & Co, Research Division: Robert, on your domestic per screen box office growth that came in nicely, ahead of the industry. Can you talk about how much Rave impacted results there and any other factors that moved the needle? It sounds like XD may have been a lift.
Robert D. Copple: The Rave, really, we picked up just a little over 1 month and the numbers weren't -- aren't really that different from ours. So it's definitely beneficial. It's a great acquisition for us, but didn't really move those -- the numbers. XD definitely continues to perform extremely well. I mentioned, Tim did during the discussion, it's had great growth and continues to. It's a major focus of ours. And overall for premium product, made a big difference for us. And so that -- I think overall, if you look at it overall, screens did to get the kind of growth we did, our 2D and 3D both performed well and the average screen did well and XD was a nice enhancement on top of it.
Townsend Buckles - JP Morgan Chase & Co, Research Division: On the XD, are you seeing a real step-up in per screen attendance there, maybe from the increased marketing? And can you remind us how you're pricing those screens versus your normal ones?
Timothy Warner: Yes, the -- and I think the big change with the -- because there's enough PLF screens in the marketplace now that the studios are really getting behind the PFL release and with their marketing dollars and their campaigns, so I think that's what's really driving the increased performance. But on an average, for a 2D release, it probably averages just around $3 and for XD 3D, probably is in the $4, $5 range.
Townsend Buckles - JP Morgan Chase & Co, Research Division: Got it. And lastly, we continue to hear a lot about M&A opportunities in the U.S. I don't think you've been quite as vocal as your peers in expressing your desire to find additional acquisitions after the last set of deals and you obviously have Latin America to focus on. So if you could talk about how interested you are in buying in the U.S. versus your investment in LatAm, newbuilds and potential acquisitions down there?
Timothy Warner: Well, we're interested in both areas of the world and would like to do some additional acquisitions. I think the -- we've always been very, very concerned about the quality of the assets to make sure they're very sustainable assets. And so, here in the U.S., you could see some M&A activities going on. It's not as robust as it was last year in the marketplace. But there is, as our competitors have talked about, we don't see it anywhere maybe as active out there as they see it because a lot of the circuits in the U.S. are owned by families. And so their rationale for coming to the market place might be a little different than ours. They're financial entities.
Townsend Buckles - JP Morgan Chase & Co, Research Division: Got it. So not quite as much quality out there, you'd say?
Timothy Warner: There's high-quality stuff, but it's owned by families. I mean, I'll cite some examples and by citing them, I don't want to think that they're out there in the marketplace. But they're like -- the Harkins Organization runs a great circuit of theaters in the Southwest. The Cobb Theaters, the Cobb family has a great circuit in the Southeast, and Santikos has a great circuit in San Antonio, all very attractive assets, but they're owned by an exhibitor/operator and not by a financial entity.
Operator: And your next question comes from Eric Handler with MKM Partners.
Eric O. Handler - MKM Partners LLC, Research Division: Actually, 3 quick questions for you. First, you talked about your XD streams accounting in the U.S. about 5.6% of revenue versus only 2% of screens. What -- how did that compare to what your XD is doing in Latin America? Secondly, your concession per cap, I believe, you said on a constant currency basis in Latin America was up 14%. That's a pretty hefty increase. What's sort of the main driver of that growth? And then third, just running through some of those numbers pretty quick, where do expect to end the year in terms of your total theater and screen count?
Robert D. Copple: With respect to the XD performance in Latin America, we are performing extremely well down there. I didn't actually run the percentages, but if I look at the screen count compared to the box they generate, in the U.S., as we mentioned, is 2% to the 5.3%. It's probably -- I'd close to double, so something similar may not quite -- 2% to 5.3%, but it -- I think the screen count, if we look at it, is somewhere around 3.6%. On the box isn't quite double, but similarly, up significantly. So they're doing very well. Some of that just has to do with relative price, has to do with the way the market -- where the theaters are in the market. But we continue to want to expand XD throughout Latin America because it is performing extremely well. Screen count at year end, as I said, when I went through the numbers that we had, we think with the additional theaters that we're estimating, that we should end up somewhere around 5,970. Obviously, things can move a little bit, but as we've said in the past, we expect to open 100 new screens in Latin America and over 100 new screens in the U.S. And everything still seems to be on track to achieve that. And actually, you asked one other thing, Eric, and I didn't write it down.
Eric O. Handler - MKM Partners LLC, Research Division: Concessions, you said on a constant-currency basis, Latin America was up -- the per cap was up 14%, which is a really strong number. What's sort of driving that?
Robert D. Copple: If you go back, we've actually had some great performance in Latin American concession. It's really the same thing, it's the mix of products that we have in the U.S. It's price increases, but I think it's more probably just the mix of the different types of products that we've been able to put together, combos, things like that.
Operator: And your next question comes from Ben Mogil with Stifel.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc., Research Division: I wanted to talk to you about 2 things. So in Brazil, obviously seeing lots of headlines around the macro there slowing down. Can you give us a sense from where you sit, not so much on the sort of day-to-day operations, but in terms of newbuild pipeline, say, into '14 and beyond. Are you seeing any kind of slowdown? Or are you sort of seeing that would still be very robust from your perspective?
Timothy Warner: Yes. In Brazil, as you point out, Brazil has had tremendous, tremendous growth over these last 4, 5 or 6 years and it has slowed down. But it's still probably going to have in the range of about a 2% growth in that area this year. So -- but when you factor in the past 4 or 5 years, it's just had tremendous growth. As far as the mall development, which is of sort of the key to our expansion, at least forecasting it through 2014 and maybe early into 2015, with projects that are already in the pipeline. We don't see any downturn in those mall projects, which would be our key to expansion. And then, -- and to the other thing, just like in the U.S. When the U.S. went into a recession here, 4 or 5 years ago or whatever you want to call it, we didn't see any drop-off in attendance in our numbers here in the U.S. And our industry performed very well in the U.S. in that downturn in the U.S. Not that what's going on in Brazil is anything like the financial crisis that the U.S. went into, but throughout our history in Brazil for the past 17, 18 years, we haven't seen any impact in -- of a downturn over that 17-year history with the attendance performance at our theaters.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc., Research Division: And from a competitor perspective, I mean, with the limited information that you may or may not have, are you seeing any of the macro issues in Brazil impact your competitors maybe more so than you? I'm just trying to get a sense of the overall markets growing.
Timothy Warner: I mean, I think the -- sometimes, a downturn can help trigger some M&A activities or these kind of factors. Or maybe if you -- if he is a lesser competitor in the market, they might not have the financial wherewithal or structure that -- a downturn might create some headwind for them. But we still do feel very, very good about Brazil and we've been in all these markets 17 or 20 years. And we're excited about both our future and the future of these countries.
Benjamin E. Mogil - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then my last question. On the domestic front, 3D numbers continue to sort of erode despite I guess the hope that flat this year that would be stable . From your perspective, what do you think is not working to the degree that once worked?
Timothy Warner: Well -- I mean, I think -- and this again is just my perspective, because if I think a little bit that the industry has sort of taking 3D for granted and if the studios, even though they spend the money to make the movies in 3D, I mean I think they could do -- be doing a lot better job to communicate to the public why they need to see it in 3D. And also, exhibition could play a part of that role that we need to make, maybe more of an effort. Now within Cinemark, we've always been very, very concerned about the light levels behind 3D. And the importance of playing it in 6 foot lamberts, which we always promote and produce. Also, some of the films that were out there at IMAX have underperformed, and so you're in the 4-week period and sort of an underperformance on the IMAX screens have, I think, sort of helped drag it down. But we believe in 3D, we believe in the technology. A lot of the top creative talent in the world have embraced it. There's a tremendous number of movies already 28 for next year, have been announced coming out in 3D. And I'm sure there will be more. Cameron's announced that he's going to make his 3 Avatars coming up in 3D. Star Wars, I mean, I could go on and on. But -- so, I think the industry has embraced the technology, but obviously, we need to do a better job selling it.
Operator: Your next question comes from Jim Goss with Barrington Research.
James C. Goss - Barrington Research Associates, Inc., Research Division: I think I might first follow-up a little bit on the 3D question. Are you tending to think this 30% domestically is sort of the new normal, or does erode from here? And what are you seeing internationally at the time that domestic has faded?
Timothy Warner: No. I mean, I think it's going to vary product to product. And also how a studio brings their film to market, as to if they really emphasize that people should be seeing this in 3D. And of course, on a global basis, 3D has always outperformed the domestic market -- the global market. And the global market continues to perform very well in 3D. And I think in the U.S., whether it's 20% or 90%, it's accretive. And it's very advantageous, both to the exhibitors and the studios, and we also think the customers to have this premium experience. And we think the -- although there's been a little downturn here in the U.S. in these last few films, we think that the format is very viable and maybe needs a new effort to revitalize it, but we're still very strong, both domestically and globally on 3D. And every indication we're getting from the studios and the creative community, they still strongly believe in the format.
James C. Goss - Barrington Research Associates, Inc., Research Division: Well, one of the other issues that seems to happen domestically versus internationally is that the multiplexes are typically smaller internationally. So if there's a 3D/2D option, there tends to be more of a push towards the 3D as the primary choice alternative. Whereas the domestic exhibitors I think, including you, have tended to want to give the customer their choice and might have not sort of veered them in that direction? Do you think there's anything to that?
Timothy Warner: Well, your assumption that you have a larger footprint theaters here in the U.S., and so there's more diversity of choice in showtimes is correct. Where internationally, the theaters tend to be smaller footprint or screen count, and so there may be less of a selection of showtimes. Now from Cinemark's perspective, we always try to give the customer a choice. Like ideally, as much as possible, we try to have 50% of the showtimes in 3D and 50% of the showtimes in 2D, to where the customer can make the choice as to what format they want to see it in. But, I mean, I think the good news for the industry is that a surprisingly number of customers continue to want to see it in 3D. And I think, again, it goes back to -- that the industry is taking the format a little bit for granted. And the efforts to market it or sell the film in 3D and to see it in 3D had been a little bit lacking on both sides.
James C. Goss - Barrington Research Associates, Inc., Research Division: Okay. In Latin America, you have talked quite a bit about Brazil. Are there any other markets you'd want to highlight in terms of their underlying growth trends and related or maybe unrelated currency issues that should be highlighted as a reason things may have been different?
Timothy Warner: No, I mean, I think that Latin America continues to be a great story, and Brazil because of its size, is always sort of the lead story in Latin America and South America. But all the countries in Central America continue to perform very well, both from theatrical perspective for us, but also from an economic perspective. Colombia is a country that has been doing very, very well economically and Peru and Chile and all the rest of Latin America you people have read about some ups and downs in Argentina. But in general, the overall status of Central and South America and Mexico have been very good when you consider the world market, like if you would compare that market to like Europe or other areas of the world.
James C. Goss - Barrington Research Associates, Inc., Research Division: Last question, just to detail. What is the domestic and international film count that make up that 5,794? I didn't see it in the release.
Robert D. Copple: Oh, relative the screen count?
James C. Goss - Barrington Research Associates, Inc., Research Division: Yes, just the quarter ending screen count.
Robert D. Copple: The quarter ending. Okay. For the quarter, it's 4,434 domestically and 1,360 internationally.
Operator: Your next question from Tony Wible with Janney Capital Market.
Anthony Wible - Janney Montgomery Scott LLC, Research Division: I was hoping you could focus on the divergence between the local currency ticket price increase and the concession increase? It's a pretty big spread. Would you expect those 2 to converge over time? And would that be from ticket pricing moving up a little bit more, or would you expect some moderation on the local concession side?
Timothy Warner: Well, I think that the ticket pricing tends to follow inflation in the countries and maybe it either gets a little behead or behind inflation. Where concession moves a little bit as introduction of product and also introduction of the theater experience. Because in a lot of these countries and it's been a long time since we entered them, but concession wasn't part of the theatrical experience. And so as it becomes more of a part of the experience, we see that sort of translate into a similar habit as when people go to the movies in the U.S. or people, and the longest country we've been in is Mexico, you know Mexico would have a similar sort of a concession experience or buying habit. And I think that sort of translates as you go down to the other countries over time. And so in addition to the price increases or new product increases, you have sort of a certain expectation when you go to the movie, that they start to develop also.
Anthony Wible - Janney Montgomery Scott LLC, Research Division: Got it. And then I was hoping you could talk a little talk a little bit about Latin America 5 years from now, 10 years from now. How big of the mix -- part of the mix do you really want it to be? After you get rid of Mexico, do you plan on putting that right back to work in Latin America? And do you continue to plan to build that out where it will be 30%, 40% of revenue at some point?
Robert D. Copple: I think the key on Latin America is just the pure opportunity play that we have down there. On a relative -- if everything else being equal, it will continue to increase as a percentage on relative basis and just this year we've talked about building 100 screens domestically, 100 internationally. We hope to build over 100 internationally next year. And so on a relative basis, that's just considering that international is a smaller percentage today. If I'm able to keep those numbers running equal or actually even in international, building more screens than I am domestically, that -- you'll start increasing that percentage. As Tim said earlier, we're looking for acquisitions both in the U.S. and Latin America. We feel like as you look out in that 5- and 10-year timeframe especially that we'll be able to do some meaningful acquisitions in Latin America, especially as some other companies help build the market in some of the areas that we're not as focused on, and so you get newer and better quality product out there for us to look at acquisitions of. So I think longer-term, it increases. It's hard to say what's the percentage. We don't have a limit per se. I think our -- obviously our domestic business is very strong, continues to grow as well. But if it's 30%, 40%, that would be fine with us. I mean, historically it's been in the 30% range. And so post Mexico, getting it back up to similar percentages would be something we would hope to achieve.
Anthony Wible - Janney Montgomery Scott LLC, Research Division: Got it. And then last question is on Mexico. When that business rolls off, does it skew the concessions per cap in any way? I'm just basically trying to figure out in Mexico, was there a disproportionate amount of concessions versus tickets sold?
Robert D. Copple: Not really. I mean, some of the rates of Mexico have be slightly higher than U.S., but I don't think you're going to see a real meaningful movement.
Operator: Your next question comes from Ben Swinburne from Morgan Stanley.
Ryan Fiftal - Morgan Stanley, Research Division: This is Ryan Fiftal on for Ben. I was hoping we could get an update on a couple of your medium-term initiatives? First, has there been any -- have you guys had any recent progress with DCDC and developing ability to bring more diversity of content into your theaters? And then, second I believe you've been testing some premium concession formats this summer. So is there anything you're seeing coming out of those tests and what's your latest thoughts on the ability to expand higher in concessions?
Timothy Warner: No. First off, on DCDC, it's a partnership of -- which is more like an industry utility of Cinemark, Regal, AMC, and Warners and Universal, but it's going to be open to all content providers and all exhibitors. It's in the process of being deployed in those 3 circuits. But again, it will be open to all exhibitors. And 6 of the major studios -- the 6 majors plus Lionsgate have signed to go over to those studios. It's anticipated that we will have that completed by the end of this year for those 3 major circuits and -- or the first quarter of next year. And so it will be up and running in those circuits. And then we will continue to add exhibitors as exhibitors want to join outside of those 3 circuits. And like I said, 6 of the major studios have already signed and they're in negotiation with the other major content providers to join us. On your other question, on the premium cinemas, Rave, when we acquired Rave, they have a -- called Crave cinemas and some premium formats and we also had some smaller premium, like our theater in Napa we opened with a wine bar and beer and some finger foods. And so we've been testing that concept, but we opened up, in fact, this month our first what we call Cinemark bistro in Edinburg, Texas and then we follow later on in the year with one in the El Paso market. And so it's too early to really comment on that results. We're highly confident that we'll be able to execute well in the both those things. And -- Cinemark has a very diverse product that they can bring to the marketplace and it ranges from our NextGen theaters to CineArts theaters to Cine Bistro and we're also building what we call Cinemark Premium in both the Playa Vista development in the greater part of L.A. and then in the Maryland market. So we have a wide variety of products that we are bringing into the market.
Ryan Fiftal - Morgan Stanley, Research Division: Great, that's helpful. And on DCDC, I'd imagine there are 2 pieces to it. One is the technology outside actually side actually this implemented and then the other is going to be attracting content to that platform.
Timothy Warner: Right. And that's where, as we discussed earlier, we've taken Fathom -- we are in contract with NCM to take Fathom, which was an alternative content company back in-house with AMC Regal and Cinemark. And we view that the potential of a lot of that content will come from studios that we currently do business with. But that business model will sort of develop over time, but the DCDC will be the technological superhighway in -- that the creates scalability and easy access to thousands and thousands of screens.
Operator: And your next question comes from Eric Wold with B. Riley.
Eric C. Wold - B. Riley Caris, Research Division: A couple of questions. One, after visiting the Rave theaters around the acquisition, any thoughts on -- if any of those will be rebranded as one of the Cinemark brands or they're going to be kept as Rave? And if they are kept as Rave, any thoughts of opening more under the Rave name? And I have another question after that.
Timothy Warner: Okay. We've -- it is a very strong brand, and we do own the brand. And so, there will be -- and like we did with Century when we bought that brand. It was a real strong brand in the Bay Area, so when we tend to open a new theater in the Bay Area, we tend to call it Century theaters. And probably where there's sort of a dominant format in the Northeast, when we expand in the Northeast, will probably open as Rave. However, they do have some really high-profile locations and I'll use the example of the Bridge we took right off the 405, which is one the busiest freeways probably -- or if not the busiest freeway in the U.S. there's a chance we might re-brand a high-profile location like that, just to get the exposure to Cinemark.
Eric C. Wold - B. Riley Caris, Research Division: Okay. And then on the previously discussed M&A opportunity down in Latin America and focusing on some of the smaller markets that Cinemark may have not pursued organically in the past. How receptive have those potential target's been as you started discussions, are you even looking there? Is that something you think is ripe near term? And how would you characterize the competitive environment for acquisitions in that market versus -- relative to this market?
Timothy Warner: Sure. First off, as it relates to maybe expanding our footprint in Central America and South America. Central America, with the exception of Belize, I think we're pretty much in every country in Central America. And then in South America, there's Bolivia, Paraguay, Uruguay and Venezuela, are the major countries we're not in. And we do see them as opportunities, not so much Venezuela because of the current political environment right now. But at some point, when that environment will change, it might create an opportunity for us. But the other countries, it's just a question of us going in with the right development. So when we identify the right developer of this building, say, a huge project in Bolivia, of course, we'll want to be part of that project. Or if there's a big developer going into Paraguay or Uruguay, that we can become part of their projects, we'd want to be part of their projects and we're constantly looking at those opportunities and we're sort of hoping that they come up. As far as acquisitions, there are smaller companies that -- but again they tend to be more family-owned and operated. And so, their motivations for sale might be entirely different than a financial entity, but they're -- but they are there and we're constantly as we've been in these markets for 17, 18, 20 years now depending on the market. And so we're constantly talking to them, have a great relationship with all the different exhibitors in these markets. And we think, over the period of time, to Robert's previous comments, that these are opportunities that will arise.
Eric C. Wold - B. Riley Caris, Research Division: And do you see that, that market is being more competitive for acquisitions than here?
Timothy Warner: No, not necessarily, because I think the families will tend to do business with people they know. One of the, I think, great strategic decisions that we've made at Cinemark is that all our in-country management are from that country. So -- and they've known the individuals on a very personal basis. I've obviously spent a lot of time in Latin America and know most of all the exhibitors in Mexico, Central and South America.
Operator: And your next question comes from Matthew Harrigan with Wunderlich Securities.
Matthew J. Harrigan - Wunderlich Securities Inc., Research Division: Firstly, there was a lot of excitement last year on the faster frame rates is with the Hobbit, 48 frames and even how it affects the optics of 3D and clearly, that fizzled. I mean, some of the audiences had said it didn't even have a film feel to it. Can you talk about what else is in the pipe on that format other than the next Hobbit and how that evolves and do you think that becomes a bigger deal over time? And then secondly, big macro question. I mean, everyone knows the box office has been great this summer, But you have had a lot of casualties, Smurfs being the most recent in the body count. I mean you can see what the film calendar next year looks like. But is there anything behaviorally from the studios that you anticipate in reaction to -- such as a checkered result, some big pictures like Despicable Me, but unusually large number of failures too?
Timothy Warner: Well, probably one of the toughest things to produce is a great movie that people want to see. So I tend to be very shy about commenting on the creative process because it is one of the most difficult things to bring together and bring into the market and market it and create a movie that a lot of people want to see. The other thing I would be a little cautious on is on a global basis, a lot of these films are working very well and I'll cite Pacific Rim as an example of that. I mean, it's already up over, I think, $350 million or so on a global basis. And even the Lone Ranger, which is getting -- been getting get a lot of press is already up to the $175 million, $180 million on a global basis. And we're not privy to the studios' business model as to how they structure the financing in this film and how they bring to the market. We're strictly on the retail end of it. And obviously, on the combined effort, the industry is doing very well from the exhibition side. Now we realize different studios will be impacted different ways by how they decided to make these films. But on a global basis, and then the aftermarkets and all the ancillary markets that they sell a product into, it's tough for us to sit here and say what's a good financial investment and what wasn't. On the 48 frame rates, Jackson went down this path and so he was the industry trailblazer. We're hearing that he's going to bring it back to the market with the new Hobbit. And then we're hearing that Cameron is also going to experiment and continue to experiment with it. So I think it's going to take the top sort of not only creative directors, but the real technical directors to really pull this off. And it will be interesting -- like I said there was a big fuss last year. Cinemark is -- because of our technology, we're totally capable of playing the high frame rates. But the -- it's sort of a mixed results in the actual marketplace. Okay, well thank you very much for joining us this morning and we look forward to speaking with you again following our third quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.